Operator: Good day, and welcome to the Dexterra Group, Inc., Fourth Quarter 2025 Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Denise Achonu, Chief Financial Officer. Please go ahead.
Denise Achonu: Thank you, Betsy. Good morning, and thank you to everyone for joining the call. My name is Denise Achonu, Chief Financial Officer of Dexterra Group Inc. With me on the call today are Mark Becker, our CEO; and our Board Chair, Bill McFarland, who will provide some brief introductory comments. After a brief presentation, we will take questions with the call ending by 9:15 Eastern Time. We will be commenting on our Q4 and full year 2025 results with the assumption that you have read the Q4 and full year earnings press release, MD&A and financial statements. The slide presentation, which supports today's comments, is posted on our website, and we encourage participants to access the slides and follow along with our presentation. Before we begin, I would like to make some comments about forward-looking information. In yesterday's news release and on Slide 2 of the presentation that we have posted to our website, you will find cautionary notes in that regard. We do claim their protection for any forward-looking information that we might disclose on this conference call today. I will now turn it over to Bill McFarland for his introductory comments.
R. McFarland: Good morning. Thank you, Denise, and thank you to everyone for joining the call today. 2025 was a record year for Dexterra, $123 million in EBITDA and net earnings of over $40 million and the completion of 2 strategic acquisitions, which significantly advanced our scale and competitive position by strengthening both our U.S. integrated facilities management platform and our industry-leading remote workforce accommodation footprint. We also increased our annual dividend by 14% to $0.40 per share during the year, reflecting the Board's confidence in the strength and sustainability of the business, strong free cash flow generation and our low leverage profile. Management's continued focus on disciplined execution and creating shareholder value was also rewarded by the market with over 60% appreciation in our share price over the last 14 months. As we move into 2026, Dexterra is in an excellent position with an experienced management team led by Mark Becker and a strong and engaged workforce. We will continue to focus on building the business for the long term with the support of our major shareholder, Fairfax, and have created a business that all of our shareholders and stakeholders can be proud of. With that overview, I would like to now pass it over to Mark Becker, our CEO.
Mark Becker: Thanks very much, Bill, and let me start by saying what a year, and I just want to say how proud I am of the Dexterra team and what we accomplished together in 2025. Our 2025 results are the accumulation or culmination of hard work over the recent years and the strong execution of our strategic plan. It's been rewarding to see the market better appreciate our business and its future potential. So looking in detail on Slide 5, as I mentioned, 2025 was a very busy and successful year for Dexterra. We generated a record revenue of over $1 billion in revenue, adjusted EBITDA of $123 million that Bill mentioned. And we also delivered very strong -- really, really strong margins as well. We executed on our strategy and reinforced our commitment to creating long-term value for our stakeholders. I'd like to sincerely thank our dedicated employees across the organization, our clients, our business partners and our Board for their support in reaching this achievement. Our employees' commitment to servicing our clients and delivering operational excellence really made our progress possible. In addition to delivering another year of strong, sustainable and profitable growth, as Bill talked about, we completed 2 highly strategic investments in 2025, further strengthening our platform and enhancing our ability to execute our long-term strategy for both of our businesses. The addition of Pleasant Valley Corporation, along with the CMI acquisition, which we completed in 2024, significantly expands our growing U.S. facility management platform. The PVC distributed delivery model that we expect to leverage across North America is complementary to Dexterra's largely self-perform facilities management model. Our partnership with PVC is progressing very well with our collective efforts aligning on both FM and IFM growth opportunities. As well, the acquisition of Right Choice Camps & Catering also strengthened our leadership position in the Canadian workforce accommodations market by adding to our customer base and strategically located camps along with high-quality excess equipment, providing capacity for North American growth and enhancing our ability to take advantage of potential nation building and government infrastructure projects. We will have the Right Choice business fully integrated into the Dexterra platform within Q1, and the onboarding of people and clients has been seamless for us. Open camp optimization in the Montney/Duvernay region is also underway, and we expect to utilize the equipment fleet over the medium term in support of our new growth opportunities. More specifically, in terms of fourth quarter results, I'm pleased to report that we delivered another quarter of strong financial and operating results with robust market activity levels, strong margins across the business and contributions from our acquisitions, resulting in adjusted EBITDA of $33 million for Q4 and adjusted EBITDA margins expanding to 12% from 10.7% in the fourth quarter of 2024, primarily related to our mix of business. During the quarter, PVC and Right Choice contributed $2 million and $6 million, respectively, to adjusted EBITDA. As we continue to execute our plan to deliver reliable and predictable results and deliver value from our capital allocation priorities, we are pleased to see this reflected in the appreciation of our share price, which has increased significantly. We delivered a return on equity of 15% in 2025 and $34 million of free cash flow to our shareholders through dividends and share buybacks. With that, I'll turn things over to Denise to provide an overview of our segmented results and our financial position.
Denise Achonu: Thank you, Mark. Turning to Slide 7. I'll begin with a detailed look at our business segments, starting with Support Services. Revenue in Support Services for the fourth quarter was $231 million, an increase of 12% from Q4 2024, driven primarily from strong camp occupancy and the positive impact of the acquisition of Right Choice. As a reminder, PVC is accounted for under the equity method. And accordingly, its revenue is not included in our reported results. Q4 2025 adjusted EBITDA for Support Services increased by 31% over prior year to $24 million, while adjusted EBITDA margins increased 10% in Q4 2025, up from 9% in Q4 2024. The improved profitability and increased margins were achieved despite the broader impact of tariffs, inflation and general economic concerns. This was the result of a focused effort on managing our supply chain, effective client contract management and driving operational efficiencies in the business. PVC contributed $2 million to adjusted EBITDA in the fourth quarter, while Right Choice contributed $4 million in what is typically the strongest quarter for its operations. Adjusted EBITDA margin, excluding PVC, were 9.6%. Support Services' revenue and adjusted EBITDA in 2025 increased 7% and 18%, respectively, compared to 2024, consistent with the same factors already mentioned earlier. Adjusted EBITDA in 2025 from PVC and Right Choice amounted to $3 million and $5 million, respectively. So on a same footprint basis, we increased EBITDA by 9% or $7 million in 2025 in a very challenging economic climate. Our 2026 pipeline of new sales opportunities remains strong across all areas of support services, including facility management opportunities on both sides of the border. And we expect adjusted EBITDA margins for Support Services to continue to exceed 9% in the long term. These margins reflect our team's discipline around finding the right new clients, where we can deliver profitable revenue growth. The partnership with PVC is progressing well and in line with our expectations. We anticipate our investment in PVC will be cash flow neutral in the near term, as we invest in the business and technology to drive strong growth in the U.S. Moving on to asset-based services on Slide 8. Revenue declined 2% year-over-year in the fourth quarter due to lower project revenue related to the timing of camp installation and lower access matting rentals. This was partially offset by the Right Choice acquisition, which contributed $6 million in revenue during Q4 2025. Adjusted EBITDA of $15 million increased 9% compared to Q4 2024, while adjusted EBITDA margin increased 37% in the fourth -- increased to 37% in the fourth quarter of 2025, up from 34% in the fourth quarter of 2024. The margin improvement is related to the change in business mix from higher workforce accommodation equipment utilization, which generates higher margins compared to lower camp installation project activity and the contribution from Right Choice. The timing of new camp installation activity varies based on the timing of new contract wins and client-specific timelines. We have a solid pipeline of future work and see good activity levels in oil and gas infrastructure projects, including the potential for Canadian nation building investment. In Q4 2025, access matting utilization was lower compared to the same period last year, which was at record levels. However, utilization in Q4 2025 did increase over Q3 levels and is expected to remain strong in 2026, similar to 2025 levels. ABS revenue of $173 million for 2025 compared to $192 million in 2024 with the decrease due to the reasons mentioned previously, partially offset by an $8 million contribution in revenue from Right Choice. Adjusted EBITDA for the year increased 9% to $61 million from 2024. Adjusted EBITDA margin for the year was 35% compared to 29% in 2024. Right Choice contributed $3 million in adjusted EBITDA in the year. On a go-forward basis, starting in Q1, we will no longer be reporting the Right Choice numbers separately as the operations will be fully integrated with the Dexterra workforce accommodation platform. We expect adjusted EBITDA margins for this segment to continue to remain between 30% to 40%, depending on business mix. Moving to Slide 9. Thanks to our strong profitability and asset-light operating model, we generated $60 million of free cash flow for the full year in 2025. Our adjusted EBITDA conversion to free cash flow of 49% was impacted by the delayed receipt of a customer receivable funded by the Canadian federal government, of which $11 million was collected subsequent to year-end. Our adjusted EBITDA conversion to free cash flow would have been 58% had that amount being collected by year-end. Our tax losses are also now almost fully utilized. And in 2026, we are required to make income tax payments and installments for 2025 and 2026. We expect to have adjusted EBITDA conversion to free cash flow in 2026 greater than 50% with Q3 and Q4 experiencing the highest conversion to free cash flow as a result of the seasonality of the Support Services business. Management of working capital remains a key focus area, primarily through actively working with our clients for prompt payment of receivables. Corporate expenses for 2025 were $26 million or 2.5% of revenue compared to 2.3% of revenue in 2024. The increase was mainly related to additional investments in sales resources to drive growth and enterprise information technology to manage the business effectively. We expect our corporate cost to continue to approximate 2.5% of revenue in the near term. Net earnings per share of $0.12 for Q4 2025 compared to $0.11 for Q4 2024. During the fourth quarter as well as full year, our net earnings were impacted by an increase in share-based compensation expenses related to the strong performance of our share price in 2025. Share-based compensation, which vests over a 3-year period, includes restricted share units and performance share units, which are directly tied to total shareholder return. As a result, in the fourth quarter, the year-over-year increase in share-based compensation expense was $2.1 million after tax. And for the full year, the after-tax increase was $4.2 million. Share-based compensation payments of $6.7 million were made in Q1 2026 related to units that vested in early 2026. To proactively manage this situation going forward, in early 2026, the corporation entered into a total return swap arrangement with a major Canadian financial institution to effectively hedge changes in share-based compensation expense against our share price. This program will help mitigate in the future the net earnings impact of changes in our share price to share-based compensation expense. Net debt at December 31, 2025, was 1.6x adjusted EBITDA or $200 million. The PVC and Right Choice acquisitions added approximately $115 million in debt in 2025, and we have entered into a collar swap on our U.S. dollar-denominated debt of $16 million to hedge against interest rate fluctuations. Our $425 million term loan matures in 2029 and has significant unused capacity for future M&A activity. In 2025, we purchased 1.5 million shares at a weighted average share price of $7.88 for a total consideration of $12 million, and we paid $23 million in dividends. We remain committed to maintaining a strong balance sheet over the long term and expect to use a portion of our free cash flow in 2026 to pay down debt. Finally, Dexterra paid dividends of $0.375 in 2025 and declared a dividend for Q1 2026 of $0.10 per share for shareholders of record at March 31, 2026, to be paid April 15, 2026. I will now pass it back to Mark for concluding remarks.
Mark Becker: Great. Thanks very much, Denise. And before we open it up for questions, as usual, I'll provide some comments regarding our outlook and priorities for 2026 and beyond, which are highlighted on Slide 10. Our investment in our partnership with PVC continues to progress very well. As we continue to build on our shared strategic priorities, we're working jointly to leverage our complementary business models across our U.S. platform and grow our Facilities Management business. So that will continue to be a key focus for us in 2026 and into 2027. It's worth reinforcing, as part of our outlook, the potential opportunity associated with nation building and defense-related government investments is significant across Dexterra. With our well-established defense and government facility management capabilities, we are well positioned to support increased infrastructure and defense spending. Our Workforce Accommodation business is well positioned to benefit from increased nation building investments in energy, mining and various infrastructure projects. A key point for Dexterra business is our growth, and our upward trajectory is not dependent on this activity. These projects really present potential upside to Dexterra's current growth plans. We continue to monitor trade developments and broader economic conditions. Dexterra remains largely insulated from tariffs, direct impacts of tariffs as our labor force and the majority of our supply inputs are domestically sourced. And we are further strengthened by our supply chain through our expanded vendor programs. Renegotiation of the Canada-U.S.-Mexico agreement and ongoing U.S. trade actions present broader potential economic risks that could affect client demand, supply chain or inflation. We're closely monitoring these developments and are well prepared to adjust our strategies as needed to mitigate potential impacts. As we demonstrated throughout last year, we remain committed to our capital allocation priorities, which include maintaining our dividend, our increased dividend, supporting sustaining and high-return capital investments, pursuing additional accretive acquisitions in the medium term and paying down debt. I want to reinforce, though, our near-term focus, as it relates to acquisitions, is to realize the full benefit from the strategic acquisition investments that we talked about. Additionally, we expect to make strategic investments in sales resources and technology to drive innovation, operational efficiency and support organic FM growth. Overall, we're excited and confident in our path forward with our expanded business platform. Our overarching strategic focus remains the delivery of consistent and predictable results, profitable growth in our annual 15% return on equity for shareholders. This returns -- this concludes our prepared remarks. I'll turn the call back to Betsy for the Q&A portion of the call.
Operator: [Operator Instructions] First question today comes from Mark Neville with Canaccord Genuity.
Mark Neville: Mark, Denise, Bill, maybe first question, if I could just maybe just pick on asset-based business for a second, obviously, really good profitability, but it's been a couple of quarters now where revenues have been down. Obviously, there's some moving parts in the business and with Right Choice integration and maybe some consolidation of the business. Just trying to level set maybe expectations for 2026 around revenue trends.
Mark Becker: Yes. Thanks. Thanks, Mark, for the question. And first of all, welcome to the party. We're glad to have you on board as part of our analyst community. I'd say, in general, and Denise talked about this as part of her remarks, ABS side of our business, I mean, there is some lumpiness. There is some timing related to our camp-based work within ABS. And what Denise had talked about was camp mobilizations versus ongoing turnkey contracts that we have in place and the timing of those kind of impacts the ABS revenue. It also impacts the EBITDA as well. I think the way I would look at it, generally speaking, and the other thing I'd mention, too, is the access matting part of our business as well, had a really strong utilization, record year in 2024 in Q4 or quarter. We still have strong access matting utilizations, and we expect that to continue through this year is what we're seeing from our clients. So strong utilizations there. But I think the way I would look at it is we try to talk about our overall growth of mid-single digits in the Support Services business over time. And we would say the same thing about ABS business, the low single-digit growth in revenue over ABS and then the 30%, 40% kind of margin yield, EBITDA yield, adjusted EBITDA yield in that business. I think we do see some lumpiness. We do see some variability in ABS around revenue and even ABS margins as well. I think sticking to the broad annual numbers, we would kind of see that broader guidance sort of play out is the way I would say it and the way I would look at it, just how things play out in terms of the Workforce Accommodations business.
Mark Neville: Got it. If I can just ask a follow-up, just to change lanes here, just on capital, buyback activity is a bit muted in Q4. Balance sheet is in great shape. Just curious with the integrations ongoing, is the thought to maybe bring debt down a bit further? Or is there a thought to maybe get back on the market in terms of the buyback?
Mark Becker: Yes. And I think we want to -- we'll stay opportunistic around share buybacks. I mean, our NCIB is still active and -- from what we've seen the share price appreciation in our stock. And I think the way we would continue to look at it is PVC second phase buyout is coming. And kind of post dividend, we got $25 million in free cash flow conversion, and that so far is going against our debt. All else being equal, and as we talked about, we want to focus on getting full value from the PVC investment and acquisition and the second phase buyout that is coming towards us, and also, the right Choice acquisition. Stay focused on that. So all else being equal and short of any other acquisitions, notionally, our -- we would be providing free cash flow that would work against our balance sheet, work down our debt in that period is the way I would look at it.
Operator: The next question comes from Chris Murray with ATB Capital Markets.
Chris Murray: Mark, maybe this is a bit of a broader question, but can we talk a little bit about the camps business, and how you think that, that's going to evolve over the next little while? And I guess the question is more around kind of your positioning in the broader both maybe Canadian and North American market. I think you previously told us that Dexterra had about 8,000 beds. Right Choice brought another 2,000. And you'd always alluded to the fact that the utilization was sort of north of 90%. So I guess a couple of pieces of this question. One, what kind of capacity do you have for some of these new opportunities? I know you've been able to redeploy some equipment from Western Canada to Eastern Canada and assume you do something similar with Right Choice. And does the size of the opportunity change your thinking at all about investing further in this segment? I appreciate it's got probably lower returns on capital, but I'm just trying to understand how to think about how you see the market evolving with what seems like a pretty big wave of demand with infrastructure and defense spending coming.
Mark Becker: Yes. Chris, and good question, I think just to level set on the numbers, we got about 22,000 beds under management Canada-wide, of which our own assets it's actually more like 12,000 beds. So we were at 10,000. We picked up another 2,000 beds with the Right Choice acquisition. And we're about high 80s utilization combined with the Right Choice assets in play now. So kind of puts 90% or something a little bit north of 1,000 beds sort of available. The other thing I would point out is we do have long-term contracts. We do have camps that are on long-term arrangements. We also have project-based work that's happening that frees up equipment. So we generally kind of are looking forward. The pipeline is very strong for us -- across the board for us in the business, but workforce accommodations as well, including demand for camp assets. Part of the rationale around the Right Choice acquisition is the excess equipment that was available. We do want to bring that to bear. We're going to balance that out with what we have in terms of the equipment coming available. The other thing I would say, too, is there is the ability to procure market equipment as well as needed within our sustaining growth and capital spend within the year. So our goal is to really ensure based on the pipeline that we've got, what we see coming that we're going to be able to support our growth and the growth targets that I've talked about in terms of being able to have equipment available to support our growth.
Chris Murray: Okay. And then maybe to ask another sort of related question is on kind of defense and infrastructure. You mentioned that for the Support Services group, you were looking to pursue some contracts additionally in there. You talked about -- I think the term you used was the pipeline was robust. Can you maybe describe what you're seeing in terms of the opportunity set may be more granularly? And would that get you into a growth rate? I mean, historically, we've talked about a growth rate in this business kind of in the teens or higher. But would that be something that you think is achievable over the next couple of years? And if there's any granularity you can give us on sort of like the -- where you're actually looking at some of these opportunities, that would be helpful.
Mark Becker: Yes. So I think if I heard you right, I mean, you're asking about the government defense space for us, which really can feed into facility management contracts as well as even workforce combinations potentially. And we do have quite a history in Canada around defense and government support. What we've seen, and I would say through last year and continuing well into this year, is a lot of activity on that front around opportunities coming under development, I would say, opportunities that have been around for a while, some new opportunities that are coming, a lot of them Arctic-based, Arctic defense based infrastructure, Canadian forces-based defense infrastructure. So there's quite a bit of activity that we're seeing on that front. And I think it's really going to depend on how it all comes to fruition. There's a lot of activity around putting in proposals and supporting expanded projects. And certainly, we're well positioned, as you pointed out, to kind of support opportunities there. We feel really good about that. Again, our mid-single digit, I guess, sort of growth profile, I mean, obviously, I would agree with you that depending what we see there that could be upside to what we see in terms of growth. And we're just making sure we're really well positioned that we are getting our eligibility in and getting -- and we are eligible for these contracts and these projects kind of well in play because there's really a lot of opportunity for us on that front.
Operator: The next question comes from Zachary Evershed with National Bank Financial.
Zachary Evershed: Congrats on the quarter. On the investment in technology that you guys are talking about, will that be capitalized? And what's your CapEx budget looking like for 2026?
Denise Achonu: Zach, yes, so the investments that we're making in technology, specifically this year, relate to around workforce management and human capital management systems. So really systems that will allow us to ensure that we're optimizing our labor performance on a go-forward basis, and therefore, optimizing margins because, as you know, labor are one of our most -- our highest cost, I would say. So as it relates to that system, no, we are expensing it. So we're not capitalizing it, recognizing that we are implementing it over a number of years. So this year, next year, we'll be experiencing that cost. Even though we're expensing it, we do expect, as I mentioned in my comments around corporate expenses, to remain within that 2.5% of revenue that I mentioned. So it is contained within that number. In terms of your other question around capital for 2026, again, expecting that to kind of remain within what we've said in the past, sustaining capital kind of 1% to 1.5% of revenue. So that's what we're expecting for 2026.
Mark Becker: Probably, Denise, the only thing I would add is our investment in -- with PVC and PVC Connect, which is our client-facing technology. That's part of the key -- our partnership with PVC Connect around the distributed model. There's going to be investments in that, but that's going to be within the partnership as well. And I think somewhere in our MD&A, we are flagging kind of net neutral cash flow from PVC because we're going to be supporting that investment, which ultimately post-Phase 2 buyout will also be filling that software and it's a key part of the distributed model platform for PVC.
Zachary Evershed: That's helpful. And then following up on maybe the margins in Support Services, it looks like the contribution from Right Choice in the Support Services segment was quite high on a margin basis versus the rest of the segment. Can you comment on what's driving that, please?
Mark Becker: Yes. Open camps are high margin, right? So we do get kind of good -- if you look at Right Choice platform of activity that they had, and we're certainly taking advantage of the Montney to kind of optimize that between our camps and the Right Choice camps, but pretty much the entire Right Choice platform is kind of high-margin business. So we're going to see that contribution add to us and kind of blend out the usage of that equipment and other turnkey opportunities across our network of workforce accommodations, as we leverage those assets.
Operator: The next question comes from Sean Jack with Raymond James.
Sean Jack: So I just wanted to dig into the U.S. IFM a little bit more than the opportunity set there. We've been hearing some reports of private company hesitation, little bit of government funding headwinds out in the market, but we're also seeing some large publicly-traded FM peers finished the year quite strong. Do you guys have any comment on what you're seeing for client budgets and overall outsourcing demand?
Mark Becker: Yes. Good question, Sean. Like high activity, I would say, we talk about this in a lot of our investor meetings and calls. The kind of outsourced services business in North America is like $275 billion and growing at 6% to 8% a year, which 90% of that is in the U.S. We, I guess, experientially see that in our pipeline with the platform that we have now around CMI within government services, PVC being distributed model, a lot more related to commercial and light industrial space. I would say we are seeing kind of a lot of activity, a lot of outsourcing activity, a lot of bidding activity, and we're excited about that. And I think we've -- it's about -- $50 million or 5% of our business is government, but still, we do see activity even within government. And certainly, as I said, within the commercial, light industrial, not really seeing any pullbacks yet at all. In fact, kind of more towards the opportunity that we're seeing that we've been flagging for kind of more broadly in terms of our U.S. growth profile.
Sean Jack: Okay. Perfect. And then second one, just thinking about the fleet optimization that's happening with Right Choice and ABS at the moment, should we expect to see margins improve at all in the short term because of this exercise? Or is this just more about freeing up capacity for new projects?
Mark Becker: I think a lot of it is freeing up capacity for new projects. I think we are seeing a lot of activity in the Montney and open camps, which, as I mentioned a minute ago, is high margin. So you've seen our margins be a bit higher because of workforce accommodations activity and occupancy, which a lot of that is within open camps. A lot of that is within turnkey camps, which tends to be higher margin. So that is kind of a key driver of what you're seeing overall in terms of our Workforce Combinations or Support Services margins. And from what everything we're seeing from clients, we expect that to continue. Sean, I'd really say having the equipment available, which we've talked about so much is kind of the key part of that. I think the activity levels and the industry activity levels, the size of our pipeline is really going to be the key driver of our margins within the remote business.
Operator: The next question comes from Jonathan Goldman with Scotiabank.
Jonathan Goldman: Just a couple of housekeeping ones for me. Can you give us an update on how big your camps business is in Support Services today? And how much of it is exposed to mining versus oil and gas versus infrastructure and others? Just curious how big that business is today.
Denise Achonu: Jonathan, so just in terms of your first question, our camp business, so that would be the ABS as well as Support Services components of that is about $600 million. And of that, it kind of breaks down to about 40% of that energy, oil and gas, 30% mining and then about 30% infrastructure. Yes, over the last few years, we've really been diversifying. So if you looked at this a few years ago, it would have been probably a lot more, over 50% oil and gas. And we've been very deliberately kind of diversifying not only just East-West, but also across various industries as well.
Jonathan Goldman: Got it. And secondly, how should we think about a normalized run rate for PVC equity income in 2026?
Denise Achonu: So when we issued the press release and announced the acquisition, we did give some high-level historical numbers around revenues are about USD 170 million. Again, it's an IFM/FM business. So margins on that would be kind of in or around 8%, so using that with our 40% ownership can give you an idea as to what we're expecting. And you can build some -- a little bit of growth, obviously, because we're -- as we've mentioned, we're focused on growing our U.S. platform and partnering with PVC for that. So expecting some growth in 2026 on those numbers as well.
Operator: [Operator Instructions] The next question comes from Zachary Evershed with National Bank Financial.
Zachary Evershed: Just double-clicking on the nation building tailwind. Some of the workforce accommodation peers are indicating that those could hit the P&L later in 2026 or early in 2027. Can you comment on your pipeline, any RFPs that you're seeing right now in terms of timing?
Mark Becker: Yes. I think it would be kind of across the spectrum is what I would say, Zach. I think we've got some near-term things, Ksi Lisims LNG project, PRGT pipeline, which I know you're well aware that they're flagging more near-term timing. We're seeing other things that are further out in timing. So I would almost say -- and again, you got to see these things play out. We got to see these things come to bear, but we've got kind of a spectrum of near term, meaning things that you might see some proceeds in 2026 and then picking up more in 2027, 2028. This is what we're seeing. But it's certainly kind of a full spectrum of projects, right, all the way from LNG, oil and gas pipeline as well as certainly mining for sure and then the government side as well.
Zachary Evershed: Good color. And then, on the economics, what's it looking like for purchasing new build workforce accommodation equipment versus rack rates? Is it getting closer to making sense for new entrant?
Mark Becker: Yes. I think we still have to -- new build is still a very expensive proposition in Canada. There is equipment available, and I flag it as part of my comments. There is market equipment available. And Zach, I think you know we can focus on higher-quality equipment. We're a higher-quality provider of workforce accommodations equipment. There is equipment out there that is higher quality that we can get through the market, a little bit of refurb that really just falls within our current numbers. We can bring that to bear. So I think for us, our first place we're going to go is kind of market equipment before we start looking at anything related to new build is what I would say. Betsy, are you there? Hello? Okay. I think we've got all of our questions covered, and I'm hearing there's no more questions in the queue. So we'll wrap it up today, and thanks, everyone, for joining us.